Operator: Good day, everyone, and welcome to the Fathom Holdings, Inc., First Quarter 2025 Conference Call. At this time, all participants have been placed on a listen-only mode and we will open the floor for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Paul Kuntz. Sir, the floor is yours.
Paul Kuntz: Thank you, and good afternoon. Welcome to Fathom Holdings' first quarter 2025 conference call. Joining us today is the company's CEO, Marco Fregenal; and VP of Finance, Daniel Weinmann. Before I turn the call over to management, I want to remind listeners that today's call may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are subject to numerous conditions, many of which are beyond the company's control, including those outlined in the risk factor section of the company's Form 10-K and other company filings made with the SEC, copies of which are available at the SEC's website at www.sec.gov. As a result of those forward-looking statements, actual results could differ materially. Fathom undertakes no obligation to update any forward-looking statements after today's call, except as required by law. Please also note that during this call, we will discuss adjusted EBITDA, a non-GAAP financial measure as defined by SEC Regulation G. The reconciliation of this non-GAAP financial measure to the most directly comparable GAAP measure is included in today's press release, which is now posted on Fathom's website. And with that, I will now turn the call over to Fathom's CEO, Marco Fregenal. Please proceed.
Marco Fregenal: Thank you, Paul. Good afternoon, everyone, and thank you for joining us on today's call. I'm pleased to welcome your to Fathom Holdings first quarter 2025 earnings conference. Before diving into the numbers, I want to begin by recognizing the continued dedication and perseverance of our entire Fathom team, our agents, employees and leadership. The first quarter brought ongoing economic headwinds from elevated mortgage rates to shifting global economic uncertainty, all impacted by our behavior. But through it all, our team remained focused and our strategy remained clear. The results we are sharing today are a direct reflection of that discipline and execution. We entered 2025 with measure optimism, and I'm proud to say we exceeded public expectations. Revenue growth was strong, transaction volume increased, agent count continued to rise, and we beat analyst estimates by a meaningful margin. We also continued our cost-cutting initiatives, reducing expenses by approximately $750,000 per quarter going forward. These efforts are helping us build what we believe will be a more efficient and scalable business. We now expect to achieve adjusted EBITDA profitability in the second quarter, a significant milestone and a testament to the progress we made over the past year. Now let's take a look at our earnings for Q1. Total revenue rose $32.1 million -- 32.1% to $93.1 million, compared to $70.5 million the same period last year. The performance exceeded analysts' expectations by roughly 12%, demonstrating our ability to grow despite broader economic and industry uncertainty. Brokers' revenue climbed nearly 36% to $88.9 million, up from $65.4 million last year. We entered the quarter with approximately 14,715 licensed agents, a 22.8% increase over Q1 of 2024. Transactions increased by 26%, which approximately 9,715 close of this quarter. Gross profit improved to $8.1 million, up 13% year-over-year. Excluding Dagley Insurance, which we divested in 2024, our gross profit growth was 34% from $6 million in Q1 of 2024, highlighting the strength of our core brokerage engine. Now let me shift to Elevate, our most significant strategic initiative to date. Elevate, powered by our proprietary intelligent platform, is a high margin growth program designed to enhance agent productivity, scale our platform, and drive long-term profitability. It is a concierge level opt-in offering that provides a comprehensive services including robust marketing and lead generation, lead conversion, transaction coordination, expert coaching, recruiting support, and much more. All of this is delivered by a dedicated team so our agents can focus entirely on serving their clients. Agents who enroll contribute 20% commission split along with the standard transaction fee. That's incredibly competitive when you consider that many agents already pay similar or higher splits at traditional brokerages just to hang their license with limited support behind it. Our goal with Elevate is to bridge the gap that so many agents experience. While most want to reinvest in their own growth, many simply don't have the time, tools, or the know-how to do so. Elevate is designed to remove that friction by giving them the infrastructure, marketing resources, and business coaching they need to scale their businesses efficiently and affordably. Since our soft launch just 4 weeks ago, we have seen over 120 agents sign up for the program. While we require that an agent must have completed at least four transactions in the past 12 months to qualify for the program, the agents who have signed up so far have an average annual production of between 9 to 10 closings per year. Participating agents are projected to generate a significant increase in gross profit per transaction and EBITDA per transaction. By the fourth quarter, we aim to be onboarding around 100 new agents per month into the program. We're also developing targeted extensions of the program such as Elevate for Teams and Elevate for Partners to meet growing demand. Additionally, we are in early stage conversations with external organizations interested in licensing Elevate, further underscoring the industry-wide potential of this program. What makes all of this possible is IntelliAgent as the engine behind Elevate. It streamlines operations, minimizes overhead and enable us to deliver high-touch, high-impact services at a price point that most traditional brokers simply cannot match. Combined with our overall low-cost business model, we believe that gives a significant competitive edge and creates a sustainable and scalable path for growth, both for Fathom and for our agents. Although the program is in infancy, we believe that Elevate may also have some positive impact in our ancillary businesses as we build a much closer relationship with agents participating in the program. Now let's turn briefly to reveal market conditions. While mortgage rates remain elevated, they have begun to show signs of stabilizing as the housing market shifts from a seller's market toward a more balanced or buyer's market. One clear indicator of this shift is the increase in housing inventory across key markets. For example, in March, inventory rose by 16% in California, 20% in Utah, 28% in Colorado, and 18% in Georgia. As inventory levels climbed, we're seeing a rise in the number of listings with price reductions and extended days on the market. This has led to home prices flattening or experiencing modest year-over-year declines. For instance, average home prices have dropped year-over-year by 2.4% in Florida, 4% in Colorado, 8% in Kansas, and 5% in Illinois. While there are still many uncertainties, we believe Fathom is well-positioned to benefit from even a modest improvements in market activity driven by our lean cost structure and compelling value propositions to our agents. Now let's review our ancillary businesses. Mortgage revenue increased 13% to $2.6 million for the first quarter of 2025, up from $2.3 million in the first quarter of 2024. We have seen an expected increase in [indiscernible] starts for the month of April, which typically indicates the early stage of a seasonal increase in the market. Title revenue increased 43% to $1 million for the first quarter of 2025, up from $700,000 for the first quarter of 2024. [Indiscernible] for the month of April, thus far have increased by over 45% year-over-year. Together, we believe these businesses are enhancing our margins, increased agent retention, and contributing to a more diverse and durable revenue stream. With that, let me turn the call to Daniel Wyman, our VP of Finance, to review our results in greater detail. Daniel? Daniel Weinmann Thank you, Marco. I will discuss our consolidated financial results before reviewing our business segment results in more detail. First quarter, total revenue was $93.1 million, a 32.1% increase year-over-year compared to $70.5 million for last year's first quarter. The increase in revenue was primarily due to a 36% increase in brokerage revenue as well as an increase in revenue from our ancillary businesses. Excluding the impact of the company's divested insurance business, total gross profit increased by 34% in the first quarter of 2025 compared to the same period in 2024. Gross profit margin remained consistent at 8.7% year-over-year on the same basis. Technology and development expenses were approximately $1.9 million for the first quarter of 2025 compared with $1.6 million for the first quarter of 2024. The approximate $300,000 increase was primarily due to our continued investment in our technology platforms including the build out for our new direct to agent program at LiveBy and our Elevate program. General and administrative expenses totaled $8.6 million for the first quarter of 2025, compared with $9 million for the first quarter of 2024. The decrease was primarily due to our cost-cutting initiative. Marketing expenses totaled $1.4 million for the first quarter of 2025, compared with $1.2 million for the first quarter of 2024. The increase was primarily due to investments in our ancillary businesses. GAAP net loss for the first quarter of 2025 totaled $5.6 million or $0.24 per share compared with a loss of $5.9 million or $0.31 per share for the first quarter of 2024. The decrease in net loss was primarily due to our cost-saving efforts. Adjusted EBITDA loss, a non-GAAP measure for Q1, 2025 remained unchanged at $1.5 million compared to Q1 2024. Now I will spend some time reviewing our business segment results in more detail. We start with our brokerage business. We closed approximately 9,715 real estate transactions during the first quarter, an increase of 26.1% compared to 7,703 transactions during the first quarter of 2024. The increase in real estate transactions is primarily attributed to the addition of My Home Group. We ended the first quarter with approximately 14,715 agent licenses, an increase of 22.8% compared to 11,986 agents at the end of the first quarter of 2024. Revenue for the real estate division was approximately $88.9 million in the first quarter compared to $65.4 million for the same period last year, which represents an increase of 36% primarily attributed to the addition of My Home Group. Gross profit margin for our real estate division improved to 7.1% from 6.5% in the first quarter of 2025 compared to the first quarter of 2024. This increase in margin was largely due to an increase in transactions from non-capped agents and the impact of our agents' annual fee increase. Adjusted EBITDA gain in the real estate division was approximately $1.6 million in Q1 of 2025, an increase of $800,000 compared to adjusted EBITDA of $800,000 in Q1 of 2024. The improvement was primarily driven by increased revenue and the continued execution of cost-cutting initiatives. Moving on to our mortgage business. Our mortgage business generated revenues of $2.6 million in Q1 2025 compared to $2.3 million in Q1 of 2024. Mortgage-adjusted EBITDA for Q1 2025 was a loss of $400,000 compared to an adjusted EBITDA loss of $500,000 for the same period last year. Adjusted EBITDA loss improved by $100,000 due to continued strategic cost-cutting measures. Moving to our Title business. Various title had revenues of $1 million for the first quarter of 2025 compared to $700,000 for the first quarter of 2024, an increase of 43%. The increase in revenue was driven by organic growth and walkovers. Various titles adjusted EBITDA for the 2024 first quarter was a loss of $400,000 compared to an adjusted EBITDA loss of $200,000 for Q1 2024. Moving to our technology segment, third-party revenues decreased to $600,000 in Q1 2025 compared to $800,000 in Q1 2024. Adjusted EBITDA income for the first quarter of 2025 was $50,000 compared to an adjusted EBITDA loss of $30,000 for the first quarter of 2025. Adjusted EBITDA income improved by $80,000 due to continued strategic cost-cutting measures. We continue to keenly focus on our balance sheet given the dynamic real estate market conditions. We ended the quarter with a cash position of $8 million, which includes the $2.7 million in net proceeds from the public offering in March. We did not purchase any shares in the first quarter under the stock repurchase plan. Marco, back to you for final remarks.
A - Marco Fregenal: Thank you, Daniel. Before I close, I want to reiterate that we remain focused on three core drivers of long-term profitability. First, expanding revenue through strategic growth. Second, enhancing gross margins through agent programs such as Elevate and ancillary services. And third, continued cost discipline across all areas of the business. In summary, Q1 was a strong start of the year with outperformed analysts' expectations, grew across every key metric, launched a high potential new program in Elevate, and continue executing against our plan to reach adjusted EBITDA profitability by Q2. While we remain cautious about broader market volatility and global economic uncertainties, we are encouraged by the momentum we are seeing and confident in our ability to adapt and thrive, regardless of what the rest of the year brings. Thank you again for your continued support and belief in Fathom. And operator, we're now ready to take any questions.
Operator: Certainly. [Operator Instructions] Thank you. Your first question is coming from Darren Aftahi from Roth Capital Partners. Your line is live.
Darren Aftahi: Hi guys, thanks for taking my questions. Nice to see the growth here. Marco, just two if I may, I guess, can you just talk a little bit more in depth about how Elevate enhances the profitability on both gross profit and adjusted deposit for transaction with Elevate versus some of your traditional programs and I know you kind of laid out the goal of 100 agents per month exiting the fourth quarter or into the fourth quarter. Just trying to understand kind of the cadence of the onboarding pipeline of agents. And then I know you'd made a commentary that there could be a positive impact on ancillary business. I'm kind of curious to learn more about that.
Darren Aftahi: Sure. Yes. Hey, Darren. Thank you for your questions. So, because we're charging 20% and because of the efficiencies of IntelliAgent, we are going to see a higher gross profit margin per transaction. I think we can see gross profit margins grow by 3-4x compared to our traditional gross profit margin. And it's really because of the efficiency of our platform and what we can deliver. Second, we launched this internally about four weeks ago and really was a soft launch. And pretty quickly, there were about 120 agents that signed up. We are already onboarding them into the program. And starting, I think next week, we'll start marketing externally, even though we already have some external agents joining the program. And I think we'll continue to ramp up with the ultimate goal of the end of the year, onboarding about 100 agents. We want to be careful about the growth. It is a complex program. And so we want to make sure that we are firing all cylinders. But we think that by the end of the year, we can be at about 100 new agents a month. And then of course, into next year, growing that even further. And so, given that the financial results of the program thus far, we feel incredibly positive about the impact it's going to have in gross profit and adjusted EBITDA. Q - Darren Aftahi That's helpful. There's one more if I may. Outside of my home group, have you guys held discussions with similar sized agent teams to join Fathom and has any of that accelerated post the launch of Elevate? I know you talked about some teams and partners in the pipeline.
Emilio Grande: Yes, actually once we launched Elevate, we absolutely had a lot more conversations with different brokerages, not only brokerages, but technology partners, brokerages, and we're having a great deal of a number of conversations in terms of Elevate. So I do think going forward, we're going to see potentially, perhaps into -- more into Q3, more walkovers. And then I think that within the next 6 months, you'll see some announcements in terms of potential partnerships of companies that want to not only partner with Elevate, but license Elevate. And so there has been a significant interest from a lot of different companies on what Elevate is. And we're looking forward to continue to expand the program, not only into other companies, but into other types of agents. For example, Teams is one in which that we are going to create an LFA for Teams, for example. I think there is a lot of opportunity around Elevate, and I think we are in the very early stages. And I think we are going to have some significant results in the next 12 to 18 months.
Darren Aftahi: Great. Thank you. Best of luck.
Emilio Grande: Okay. Thank you.
Operator: Thank you. [Operator Instructions] Thank you. There are no further questions in the queue.
Marco Fregenal: Okay. Thank you everyone for joining us today. As always, I look forward to our next update. I hope everyone has a good evening. Thank you for joining us.
Operator: Thank you. Everyone, this concludes today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.